Operator: Good morning, ladies and gentlemen, and welcome to the Goodfood First Quarter Fiscal Year 2026 Earnings Call and Webcast. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, January 20, 8 A.M. Eastern Time. Furthermore, I would want to remind you that today's presentation may contain forward-looking statements about Goodfood's current and future plans, expectations and intentions, results, level of activity, performance, goals or achievements or other future events or developments. As such, please take a moment to read the disclaimer on forward-looking statements on Slide 2 of the presentation. Please be aware that during the call presenters will refer to certain metrics and non-IFRS measures. Where possible, these measures are identified and with themselves to the most comparable IFRS measures in our MD&A. Finally, let me remind you that all figures expressed on today's call are in Canadian dollars, unless otherwise stated. I would now like to turn the meeting over to your host for today's call, Salim Basil. Mr Basil, you may proceed.
Unknown Executive: Thank you. [Foreign Language] Good morning, everyone. Welcome to our Goodfood earnings call, in which we'll present our results for the first quarter of fiscal 2026 ended December 6, 2025. Ross Aouameur, our Chief Financial Officer, is with me today. You can find our press release and other filings on our website and SEDAR+ and all figures on this call are in Canadian dollars unless otherwise noted. Before we begin, this is my first earnings call as Executive Chairman, and I joined Goodfood as a clear mandate to stabilize the business, protect cash and rebuild discipline. That's work is underway. I also want to acknowledge the recent announcement by the Canadian Food Inspection Agency regarding the suspention of a license at our Montreal facility. Food safety and regulatory compliance are not negotiable for us. We worked constructively with the CFIA, addressed the identified issues and the license has now been reinstated. We continue to work with the CFIA to close all pretending issues and ensure we have all required licenses at all times. Let's begin our review of the quarter with Slide 3. Q1 went mostly as we expected and highlighted during the last call in late November. The meal-kit category remains under pressure. Customer demand is muted, and we are not assuming a near-term recovery. In that environment, our focus is straightforward, protect margins, generate cash and run the business with discipline at the current volumes. Against that backdrop, which delivered positive adjusted EBITDA and positive adjusted free cash flow in the quarter. These outcomes are the product of tighter cost controls, improved execution and a deliberate focus on cash and margins. This business can generate cash even at lower volumes when run with discipline. Gross margin increased by 270 basis points year-over-year, driven primarily by higher average order value and lower incentives as a percentage of sales. This is important because it demonstrates that even as volumes are lower, the operating model can remain resilient when we stay focused on unit economics, and cost discipline. At the same time, we are still eyed about the top line. Net debt were down 21% year-over-year largely reflected in fewer active customers and lower order rates. We intentionally reduced marketing and incentive intensity, and we are proud prioritizing profitable demand rather than chasing volume with its own freight. Two initiatives are helping us stabilize the business at today's demand levels. First, heat and heat continues to build relevance by addressing convenience and value for customers. Second, Genuity is performing well and is contributing to the diversification of our topline. These initiatives are not returned to growth story. There are tools to improve revenue quality, basket economics and cash generation, while the category remains under pressure. With that, I will turn it over to Ross to walk us through the financials in more detail.
Roslane Aouameur: Thank you, Salim, and good morning, everyone. I will begin on Slide 4 with net sales and active customers. Net sales for the first quarter were $27.5 million compared to $34.7 million in the prior year period, a decrease of 21%. The decline was driven by fewer active customers and lower order rates, partially offset by higher average order value and the performance of Genuine Tea. Active customers ended the quarter at approximately 66,000. As Salim noted, we have been deliberate in reducing marketing and incentives. While this impacts customer count in the near term, it supports improved unit economics and margin protection. Importantly, as a result of that focus on quality cohorts in economics, net sales per active customers increased meaningfully year-over-year, reflecting direct basket values in recent quarters and lower discounts. This is consistent with our strategy to prioritize profitable demand and deepen wallet share among the higher quality cohort. I will now turn to Slide 5 to discuss margins and profitability. Gross profit was $11.6 million in Q1 on the back of gross margin improving to 42.3% from 39.6% a year ago. The improvement was primarily driven by a higher average order value and lower incentives as a percentage of sales, partially offset by higher fulfillment and shipping costs and lower fixed cost absorption on lower volumes. Adjusted EBITDA was $1 million compared to $1.6 million in the prior year. The year-over-year decrease reflects lower net sales and lower scale, partially offset by gross margin improvements and disciplined SG&A spend. Net loss for the quarter was $2.6 million compared to $1.7 million a year ago, reflecting the same topline and scale dynamic. Moving now to Slide 6. Cash flows from operating activities were positive at $1.4 million. Capital expenditures remained low at approximately $160,000 and adjusted free cash flow was $1.2 million for the quarter. We continue to focus on cash generation, working capital discipline and maintaining a conservative approach to investments. Overall, we generated positive adjusted free cash flow for 7 of the past 9 quarters, reinforcing a more stable financial foundation even as we adjust to current market dynamics driving a lower customer base. With that said, we have seen net leverage increase. And our focus will continue to be protecting the balance sheet and liquidity as we prudently evolve the business. Turning to Slide 7, which summarizes our key financial metrics this quarter. Growing gross margin year-over-year has given our business to resilience needed to continue generating positive EBITDA and cash flows, including these discipline and execution, this resilience provides the basis for consistent market and capital protection in the current demand environment. At quarter end, cash and cash equivalents were $11.8 million and marketable securities were $2.7 million, for a total of approximately $14.5 million. As Salim mentioned, our priority is maintaining adequate liquidity and applying disciplined capital allocation to support operations and strengthen the business and balance sheet over time. With that, I will pass it back to Salim, who will talk about our outlook.
Unknown Executive: Thanks, Ross. Let's go to Slide 8. This is what I want to spend my majority of my remarks, because this quarter, and this year are about making Goodfood simpler, more resilient and more disciplined. First, let's address operating environment and resilience. The meal-kit remains under pressure. We are not building plans around the near term rebound. Instead, we are focused on operating efficiently at current demand levels. That means protecting gross margin, paying discipline on incentives and continuing to drive a more flexible cost structure. We prioritize actions that improve repeat behavior and customer experience without adding fixed cost back into the model. Second, leadership execution. We are reassessing our talent needs and the way we are organized today to improve our decision-making process, speed of execution and innovation. This process will be completed in the next 100 days. When I joined, we also launched an operational review that is advancing well. The purpose of that review is to sharpen execution. We are tightening decision-making and accountability across the organization, simplifying processes and aligning the business around cash flow and margin performance. Practically, that means focusing the product line up on what customers value most, improving service reliability, operate with the right footprint and the right cost base for the volume we see today. Third portfolio evolution. We are evolving beyond a single product meal-kit business. [indiscernible] and Genuine Tea are contributing to higher basket values and sequential stabilization and diversification is helping mitigate pressure in the core meat business. Over time, we want a broader platform of brands that can benefit from our digital capabilities, procurement scale and operational know-how. But you will do this prudently and only where the economics are compelling. Fourth, capital allocation and the balance sheet. We ended the quarter with $15 million of cash and marketable securities. At the same time, leverage is elevated. We do not ignore that. Liquidity and balance sheet protection are top priorities. Our near-term is simple: generate cash, preserve flexibility and strengthen the balance sheet over time. Finally, when we talk about acquisitions, the filter is strict. We will remain highly selective. We'll only pursue opportunities that are immediately accretive to cash flow and margin, strengthen the platform and fit within our constraints or open broader avenues. Discipline on capital allocation is not a slogan. It is how we will manage this business. In closing, we continue to see pressure on the topline. Internal data confirm this is not a short-term fluctuation. Assuming continued pressure rather than a rebound. Some elements of our cost structure were build different scale of business, and we are also addressing that. Interest expense is a meaningful drop in cash flow which reinforces why liquidity protection and balance are top priorities for us. As we look ahead, we are managing the business with a clear understanding of the pressures on cash flow including the continued topline softness, elements of our fixed cost structure that were built for a larger scale. Financial costs [indiscernible] and the full cost of acquiring and servicing customers. These realities are precisely why our focus is on simplifying the model, improving unit economics, reducing structural drag and allocating capital with discipline rather than optimism. With that, I will now turn it over to the operator for the Q&A.
Operator: [Operator Instructions] And your question is from Frederic Tremblay from Desjardins.
Frederic Tremblay: Within the new strategy, considering the meal-kit market is still challenging, what are some of the key elements that Goodfood wants to focus on to stabilize the business? Is it more on the product side, the marketing approach that would change and also if you could comment on as best as you can forecast, what kind of timeline are we looking at in terms of indicating that stabilization of the business? Is this more of a fiscal '26 event or we're thinking longer term than that.
Unknown Executive: Yes, some sense for your question. So in terms of the first part of what it implies, I think it's definitely making sure that when we look at our capital allocation and the returns we're looking to get on some of our investments, including our marketing and other pieces of our SG&A then that is their criteria. So I think investing in marketing, making sure that the products we are servicing are the right products, making sure that the areas we're servicing in the right areas and the footprint is adapted to that. So I think some of these items are somewhat obvious, the coupons, the marketing spend, some of them will take a little longer, like making sure we have the right footprint in the right places. And I think from a product perspective, we've seen some good traction from builds of relevance, as we mentioned on the call. So how do we make sure that, that value perception with the customers season Quebec can be extended further. I think that's the piece on what will be done. I think, intrinsically anyway extrinsically, I think you can look at Genuine Tea as a category that's performing well. And I think opportunities like that when the capital allocation criteria are met are interesting, and we'll be looking to be disciplined but also to execute on them rather quickly. And I think in terms of timing, I think some of that is already in place, some of the decisions that we've made, we want to put in place in terms of where we put our marketing dollars in terms of our incentives, something will be coming over the course of the year. We all want to do it as quickly as possible. I think we want to do it in a disciplined matter in a manner that works and sustains in the long term, not just in the short term. So I think those are the key pieces to think about when we're talking about what and why.
Frederic Tremblay: Okay. Great. Maybe switching to cost a little bit. Are you this...
Unknown Executive: Sorry, just one thing if you wanted to add something we'll go ahead...
Frederic Tremblay: Sorry.
Roslane Aouameur: I think as you all know, fixes takes focus, focus takes time. And I think we see the turnaround. It's a pure turnaround here and it basically should happen within the next 18 months. And we should most probably set up a sustainably outperforming company within the next 18 months. This is not a 1 quarter to 2. We're not chased in calendar. We're not chasing calendar, we're chasing results and results take time.
Frederic Tremblay: Okay. From a cost perspective, are you seeing cost inflation on ingredients? And if so, what kind of measures are you implementing to counter that and protect margins?
Unknown Executive: Yes. I think inflation on the food side, it's not quite as rampant as it was 18, 24 months ago, it is still present. So I think we are managing that from some of the items we select, some of the items we put in place. I think we haven't done any price increases in quite a while in over 18 months and even 24 months. So I think we have that flexibility, but we also want to make sure that the value we're providing with the customer makes sense, especially in the current landscape that businesses are seeing their inputs, but customers are also feeling in their wallets. So I think we'll keep that in mind. I think for this quarter we've had some additional costs related to the CFIA and shipping from out west into Eastern Canada into Ontario. So that will impact Q2 more specifically. But overall from an inflation perspective, things are better than they were 18, 24 months ago, still some challenges.
Frederic Tremblay: Okay. And then maybe last topic for me on, I guess, the balance sheet and capital allocation. Just wanted to get your thoughts on -- or further details on how you see balancing the growth by acquisition ambitions, let's call them, and the relatively tight financial position of the company considering currently the current leverage and upcoming debenture maturities. Just wanted to get some additional thoughts on capital being allocated to M&A in that context.
Unknown Executive: Yes. Of course, when we mentioned some fitting our restrictions during the call, we do refer to our balance sheet and some of the restrictions that apply based on [indiscernible] I think we're going to look to make sure that we structure the transactions in a way that fits within our balance sheet. And then if opportunities that are more significant come to life and come to market, I think we'll look at options that are beyond what is currently in our capital structure.
Frederic Tremblay: And then maybe last question, have you identified or can you share maybe some of the sectors or geographies of interest? Are we assuming going to will go away from the legacy milk hits a little bit from an M&A perspective, but is there anything in particular that catches your eye or opportunities that you're seeing in the pipeline in certain subsectors that you can share today?
Roslane Aouameur: I think there's a few areas, dismissing fully meal-kits, given what you just said on the market makes a lot of sense. There could be some synergistic opportunities. So we won't fully dismiss those, but of course, we want something that had some pretty strong criteria on that front. Think more broadly, definitely adjacencies to what we do. We want to leverage our platform, whether it's digital platform, the infrastructure, physical and technological. So we're looking for adjacencies, not necessarily within food, but around the food beverage network. So some businesses could be attractive beyond that, and we won't left a stone unturned to find the right fit. I think from a geographical perspective, North America makes a lot of sense just from a proximity perspective and given Salim's experience in both building on the food processing on the equipment side and doing it across North America, that's something... Salim go ahead.
Unknown Executive: I think our M&A strategy is still in its infancy. We're looking at using our operating know-how our ability to leverage our technology because Goodfood has good technology and figuring out where we can take our capabilities, our expertise the strength of our brand and be able to leverage it across a platform that gives us synergies, quick integration and accretion from day one.
Operator: Thank you. There are no further questions at this time. Please proceed for the closing remarks.
Unknown Executive: Thank you for joining us on this call. We look forward to speaking with you again at our next call. Thank you so much. Bye-bye.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You can all disconnect your lines.